Operator: Ladies and gentlemen, thank you for standing by and welcome to the Targa Resources Corporation Third Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today Mr. Sanjay Lad. Thank you. Please go ahead.
Sanjay Lad: Thank you, Mitchell. Good morning, and welcome to the Third Quarter 2020 Earnings Conference Call for Targa Resources Corp. The third quarter earnings release for Targa Resources along with the third quarter earnings supplement presentation are available on the Investors section of our website at targaresources.com. In addition, an updated investor presentation has also been posted to our website. Statements made during this call that might include Targa Resources' expectations or predictions, should be considered forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. Actual results could differ materially from those projected in forward-looking statements. For a discussion of factors that could cause actual results to differ, please refer to our latest SEC filings. Our speakers for the call today will be Matt Meloy, Chief Executive Officer; and Jen Kneale, Chief Financial Officer. Additionally, the following senior management team members will also be available for Q&A. Pat McDonie, President, Gathering and Processing; Scott Pryor, President, Logistics and Transportation; and Bobby Muraro, Chief Commercial Officer. And with that I will now turn the call over to Matt.
Matt Meloy: Thanks, Sanjay. Before we get into quarterly results, I would like to say how proud we are of our employees who safely navigated through an active gulf coast hurricane season during the third quarter. While the overall financial impact to Targa was minimal, we had many employees impacted personally and our heartfelt thoughts go out to them and their families I am also proud of our collective efforts and continuing to respond to the challenges associated with COVID-19 and would like to thank all of our employees for their continued focus and diligence in managing our operations very successfully through an incredibly difficult year. Turning to our business results, we had a strong third quarter as we continue to benefit from the strength of our Permian footprint and our integrated asset position. Our strong operational performance combined with reduced capital spending and the significant progress on reducing costs are driving increasing free cash flow which positions us to continue to execute on our long-term strategy of reducing leverage over time. 2020 has undoubtedly been a challenging year, but we believe that our key strategic efforts around our re-contracting and gathering and processing, reducing growth capital spending, identifying opportunities to reduce operating and G&A expenses and focusing on integrated opportunities position us for a successful 2020 and beyond. Based on our strong performance with EBITDA projected to be at the high end and capital spending at the low end of our range, we saw an opportunity to put in place a 500 million share repurchase program and still continue to reduce leverage overtime. We are always looking for opportunities around market dislocations and we believe we have the financial strength and business profile to execute on both. Let's now discuss the business environment and our operational performance. Starting in the Permian as a result of the quicker than anticipated rebounded prices and related producer activity across our Permian systems, our inlet volumes are on track to grow close to our initial 2020 plan pointing to a strong 2020 exit and positioning us well going into next year. Our overall Permian volumes increased 9% compared to the second quarter and our third quarter volumes grew 8% when compared to the first quarter average while the overall basin experienced a 2% decline in associated gas production over this period. This points to the strength of our overall footprint in the Permian continuing to outperform basin-wide results. Our new gateway plant commenced operations in early August and the addition of this incremental processing capacity has allowed for improved NGL recoveries across our system. With gateway already highly utilized we are in need of additional capacity in the midland basin. With our continued focus on managing capital spending and our need for incremental capacity in Permian midland to accommodate increasing production we are moving our Longhorn plant from North Texas. We are also renaming the plant to the Heim plant after Targa's Founding Chief Operating Officer Mike Heim. This 200 million cubic feet per day plan is expected to begin operations during the fourth quarter of 2021 and is expected to cost approximately 90 million. The Heim plant will drive attractive returns for Targa as a result of the significant capital savings combined with the incremental fee based margin earned to our logistics and transportation assets. This type of spending is in line with our strategy going forward to focus our capital allocation on high returning projects that leverage our integrated mid-stream platform. Moving on to the Badlands, our gas volume rebounded during the third quarter and we're up 23% over the second quarter. Across our Badlands crude system volumes were down 7% sequentially as certain volumes remain temporarily shut in during the third quarter. However, we are seeing some incremental production volumes return in the fourth quarter. Turning to our central region which continues to largely be in decline gas inlet volumes in the third quarter declined 9% over the second quarter. We continue to have some shut-in volumes in South Oak which we expect to come back online in 2021.  Despite declines across our central regions, our third quarter total field G&P volumes increased 4 sequentially led by our Permian region. The durability of our gathering and processing segment margin has strengthened as we have reduced our commodity exposure by adding fees and fee floors to our G&P contracts. Our Permian G&P business is now approximately 60% fee based which is a significant improvement from around 35% fee based in 2018 and overall we are about 80% fee based across all of Targa. The financial performance of our G&P segment is now more driven by volume throughput and fees as opposed to direct commodity prices which is evidence in our year-to-date results and will serve us well going forward as we are more insulated from lower commodity price environments, but would still continue to benefit when prices rise. Shifting to our logistics and transportation segment, our Grand Prix pipeline continues to perform very well. Third quarter throughput volumes on Grand Prix increased 18% driven by increasing NGL production from Targa's Permian plants including our new gateway plant and from our third party customers. We completed the first phase of pump station additions on Grand Prix increasing our transport capacity to approximately 400,000 barrels per day from the Permian basin. At our fractionation complex in Mont-Bellevue third quarter fractionation volumes were impacted by scheduled maintenance and upgrades at our facilities. As a result of the scheduled maintenance we expect higher volumes during the fourth quarter as we work off the associated inventory. Frac Train 8 commenced operations in Mont-Bellevue in September providing us with increased operational flexibility. Our Grand Prix extension into central Oklahoma is on track to be operational by the end of the fourth quarter where it will connect with Williams’s new Bluestem pipeline. Our LPG export business at Galena Park continued to perform well as we moved a Targo record 9.5 million barrels per month during the third quarter. We expect our LPG export volumes to be higher in the fourth quarter as we'll benefit from a full quarter contribution of our recently completed phase expansion. As we look forward, we are in a position where we expect to have the ability to capture growth volumes from the Permian without having to spend much incremental CapEx on Grand Prix, fractionation or LPG export facilities. This puts Targa in a position to generate strong returns going forward as increasing free cash flow after dividends available to reduce debt and further strengthen our financial position. In September, we released our second annual sustainability report which highlights Targa's advancements in the areas of ESG and safety. With our premier integrated asset position and our talented employees Targa is well positioned for the longer term. With that I will now turn the call over to Jen. 
Jen Kneale: Thanks Matt. Targa's reported quarterly adjusted EBITDA for the third quarter was $419 million increasing 19% over the second quarter. During the third quarter, Targa generated free cash flow of $189 million or $143 million of free cash flow after dividends to our preferred and common shareholders. We continue to focus on our cost production efforts resulting in essentially flat aggregate G&A and OpEx in Q3 versus Q2 despite new assets being placed in service. Looking towards the fourth quarter, we expect OpEx and G&A to be higher while we are very tightly managing our costs we are benefiting from increasing throughput particularly in the Permian through our downstream assets and we will also have more assets in service for the full quarter. Managing our costs continues to be a huge organizational focus and we appreciate the continued efforts of all of our employees. As matt described, our fee based margin continues to increase backed by our significant progress to increase fee margin and fee floors in our G&P business combined with increasing volumes moving through our logistics and transportation assets. We remain significantly hedged for the balance of year 2020 and for full year 2021 and you can find our usual hedge disclosures in our earnings supplement presentation. We continue to estimate 2020 net growth CapEx to be around $700 million with about $520 million of net spending through the third quarter. We now estimate 2020 net maintenance CapEx to be approximately $110 million. On a debt compliance basis, TRP's leverage ratio at the end of the third quarter was approximately 4.1 times versus a compliance covenant of 5.5 times. Our consolidated reported debt to EBITDA ratio was approximately 4.8 times as we continue on the deleveraging path that we expected entering 2020 given most of our major growth capital projects are now online. During the third quarter we successfully issued $1 billion of 4% and 7% to 8% senior notes due 2031. This was essentially a debt for debt exchange as we were able to use the net proceeds to take out our six and three-quarters percent senior notes due 2024 and redeem our five and a quarter percent notes due May 2023 providing significant annual interest savings. We also announced this morning that we recently closed on the sale of our assets in Channelview, Texas which includes our crude and condensate splitter for net proceeds of $58 million. Pro forma for the five and a quarter notes redemption and the sale of the Channelview assets we have about $2.1 billion of available liquidity. As Matt discussed, in early October we announced a $500 million share repurchase program. As of November 2nd, we have repurchased 4.5 million common shares representing about 2% of common shares outstanding for a total net cost of $74 million. Our long-term strategy to reduce leverage and simplify our capital structure is unchanged by our share repurchase program. Over the long term we are targeting leverage of three to four times on a consolidated basis. Over the last several months, we have received questions around our DevCo joint ventures and our strategy for repurchasing our interests in those assets. This morning we publish a slide in our earnings supplement and investor presentation that we hope is helpful and provides incremental clarity around the structure and the performance of the assets. If we assume that we repurchase the DevCo JVs in a single tranche in the first quarter of 2022, which is the representative scenario presented on slide 5 of the earnings supplement the repurchase price is between $900 million to $950 million is an estimate of five to six times multiple on asset EBITDA and the repurchase would be close to leverage neutral. Repurchasing the entirety of the DevCo in the first quarter of 2022 is our current base case assumption and we expect to have plenty of available liquidity to fund the full repurchase. We retain the flexibility to take out the DevCo in tranches and/or to change the timing of takeout but the base case assumption running through our plan is a full takeout at the low double digit fixed IRR in Q1, 2022 which again would be close to leverage neutral. Finally, I would like to echo Matt's comments that our business is performing very well across a difficult year and we are so proud of the exceptional performance of our entire Targa team. Given our performance and the actions that we have taken this year, we expect to exit 2022 in a strong position with a very bright outlook. And with that I'll turn the call back to Sanjay. 
Sanjay Lad: Great, we kindly ask that you limit the two questions and re-enter the Q&A line up if you have additional questions. Mitchell would you please open the lines for Q&A?
Operator: [Operator Instructions] Your first question comes from a line of Jeremy Tonet with JPMorgan. Please go ahead.
Unidentified Analyst: Hey good morning guys. This is James on for Jeremy. I hope you guys are doing well. I just wanted to start with the 2021 outlook and as it relates to 4Q obviously with all your growth projects mostly in service now, it seems in the gathering business volumes are kind of normalizing. Is 4Q kind of a good run rate for 2021? It seems there is some growth maybe on Grand Prix, but largely speaking do you think 4Q can be a good benchmark going forward?
Matt Meloy: Yes. Good morning. Yes, as we look at 2021, I think we're encouraged by the strong performance that we've seen in the back half of this year especially across our Permian footprint. So those volumes continue to be resilient, showing good growth this quarter and I think that sets us up well going into 2021. So we anticipate giving 2021 CapEx and EBITDA guidance in February. I think when you look across some of the pluses and minuses I think in this price environment we still see some growth in the Permian. You've got still strong producer activity on our system with higher GURs is going to set us up well, but we do have declines that are happening in the central area as well. So there is some, we need to get through the planning process and see how those kind of shake out as we get into 2021 but those are some of the pluses and minuses.
Unidentified Analyst: Got it. That's helpful. And then maybe just shifting over to the recent upstream M&A, I just wanted to get your broader thoughts there in terms of implications to Targa and also if Targa would be interested in anything on the market at this point obviously you have a lot going on with the buybacks and deleveraging but if there's anything that you guys would consider going after here?
Matt Meloy: Sure. So yes I guess we'll handle that in two parts. First on the consolidation on the upstream, we have seen a lot of that. I'm going to hand it over to Robert Muraro our Chief Commercial Officer who kind of gives some perspective about how that may impact us.
Robert Muraro: This is Bob. So when we look at all the transactions that have happened recently and thinking about the parties that are doing, it's obviously different party by party. But, when you look at most of the transactions that have occurred we have great relationships on both sides of those tables and the consolidators, the buyers are people that we work with every day all day. So it's one of those things where we hate to see management teams go that we love, but the acquirers are ones we do a lot of work with that we have great relationships with as well. So we don't see a big detriment there and then as you start to think about those companies getting bigger as a general rule or tendency they tend to go with the guys on the midstream side that have more integrated platforms and a bigger balance sheet to work through the tough times and so we think that being directionally positive for us as the big guys start to rollout some of the smaller guys. Again we have great relationships with almost all of them that we've seen acquire and so we're excited about kind of what those integrations come, what comes from those integrations.
Matt Meloy: Yes. Well said Bob and then on the consolidation and what it looks like on the midstream side, I'd say for us we're really focused on our integrated platform, focusing our investment on organic growth. We're not lacking a key piece of the puzzle that we're really looking to bolt on or that would make Targa complete, we have an integrated platform. We have a really good Permian position and so we're in a strong position as we look forward multiple years really just servicing the existing assets and customers that we have. So we're going to be focused on organic growth. There is a pretty high hurdle for us to go look at something that would be a bolt on.
Unidentified Analyst: Okay, great. Thanks for the color. In interest of time I'll leave it there. Thank you. 
Matt Meloy: Okay. Thank you.
Operator: Your next question is from the line of Christine Cho with Barclays. Please go ahead. 
Christine Cho: Good morning. Maybe if I can follow up on that M&A question. Some of the combinations where there have been a couple of combinations where both the acquirer and Targa are notable customers on your system. How do we think about what the impact of that would be? Is the initial thought that the cost savings is going to enable more production with the same amount of spending or does the pro forma entity just pocket the savings and could there be other commercial opportunities as it relates to either new contracts or modifying existing ones?
Matt Meloy: Yes. I'd say as it relates to where they're both large customers of ours and to Bob's point we've had good relationships with really all parties involved there. I think it's going to have to play out overtime for, is there a change in how they're looking at, what their reinvestment is, how many rigs they're going to have on the acreage and how they're going to allocate capital. But, I think to Bobby's point is, over the longer term as these companies get larger flow assurance being connected to a scale, system like we have we think over the longer term is going to be beneficial. We don't see any real big impacts near term. It's going to be over the longer term how it plays out I think.
Christine Cho: I see, okay. And then just moving on to the DevCo buybacks, I understand this slide that you have there is illustrative. But, I do think that in your prepared remarks you mentioned that your base case is, divide all in one tranche in 22. Can you just talk about like you're thinking behind that buying it in one tranche versus buying it in pieces, and is the desire to buy it in one tranche because like the acquisition multiple is as a function of EBITDA is better the longer you wait or wanting it to be at least leverage neutral and you think that is best in 2022 or are there just other factors that we should be thinking about?
Jen Kneale: Sure Christine. This is Jen. I think there are a lot of factors that will go into our decision ultimately on how we take it out. That's the simplifying assumption that we're making which is that we take it out in a full single tranche in Q1 of 2022, which given our expectations for the performance of the assets is one that structure crosses over from where we would be repaying Stone Peak a multiple on invested capital versus an IRR. So we said in our prepared remarks that with that Q1, 2022 takeout assumption, you would be paying the fixed IRR on that takeout. So one that's a benefit to us. If we take it out earlier we would be paying multiple. If we wait longer, it's a lower cost to us ultimately as we take it out at that fixed IRR. So I think that that's an important element of our decision making. I think ultimately we'll see how the business performs through next year and if it makes sense for us to use some of our available free cash flow after dividends to take out a tranche or tranches early, then that's certainly an option. But, I think the point that we were trying to make with that slide and with our additional disclosures in our scripted remarks was that we could take it out in a single tranche in the first quarter of 2022, and given the strong EBITDA performance of those assets it's essentially a leverage neutral transaction. So it becomes much more a liquidity decision really than a leveraged decision and for us we expect to have significant liquidity over that horizon which is also what gives us that flexibility to be able to take out the full DevCo in a single tranche, if we wanted to. But again, we do have the flexibility to do it in pieces. We have the flexibility to wait longer and we have a lot of flexibility and that's one of the reasons that we liked the structure so much when we entered into the transaction with Stone Peak.
Unidentified Analyst: Got it. That was helpful. Thank you.
Operator: Your next question is from the line of Michael Blum with Wells Fargo. Please go ahead. 
Michael Blum: Great. Good morning everyone. I wanted to go back to your comments. Your updated contracted G&P fee based cash flows. Just wanted to clarify, did you add a fee floor to your existing POP contracts are these actual conversions from POP to fee and then the other part of that question is kind of where is this all in the Permian or is it somewhere else?
Matt Meloy: Sure. Good morning Michael. Yes so for the G&P contract, I'd say it's a combination. It's largely in the Permian is where we're having, I'd say the most successful, we're continuing to invest for our customers and needing to protect the underlying investment. So in some cases it's adding a fee floor to contracts and others, as we look forward and get extensions and renewals and others where changing POPs and making it fee-based with POP or putting in floors for POP, it's a combo of all of those things and it depends on the customer relationship and what they prefer. We can be flexible on it. What we're really just trying to do is making sure we can protect. So, the underlying investment so we can continue to service our customers and hook up wells in the line.
Michael Blum: Okay, great. And then, second question I wanted to ask was just around asset sales. Obviously here you've got another one done. The question is are there any other meaningful potential asset divestitures that you could look at or do you think you've kind of exhausted that at this point?
Jen Kneale: There's nothing Michael that we're actively considering selling at this point-in-time. The one asset that you had visibility to previously because we spoke about it publicly what's the potential divestiture of our Midland crude business. After we announced that we had successfully sold the Delaware crude business. So, again there is an active process underway but that's at least an asset new type visibility to us considering selling before. Other than that, as we look across the asset portfolio, I wouldn’t say that there are any significant assets in particular to your specific question that we would consider selling at this point-in-time. But of course everything has to be on the table at all times so to the extent that we get any reverse enquiry around different asset or different positions. We would certainly consider those.
Michael Blum: Great. Thank you, very much.
Jen Kneale: Thanks, Michael.
Matt Meloy: Yes, thanks Michael.
Operator: Your next question is from the line of Tristan Richardson with Truist Securities. Please go ahead.
Tristan Richardson: Hi, good morning. Really appreciate the comments on how the joint ventures could play out. I think that's helpful for all of us. Just a quick question. Thoughts on the Midland and just thinking about some of your customers talking about seeing some slight incremental growth next year. Towards your thoughts on the ramp of the relocated plants and to the extent if you remain highly utilized in the Midland, you could see CapEx next year perhaps exceed some of maybe your just general comments that you guys have made in the past about future CapEx.
Matt Meloy: Sure. I'd say in terms of the ramp and the volume, in the past when we brought on plants out in the Permian Midland really starting back with Joyce Johnson and Brooke. Now gateway, is and we bring an incremental plan on, it's typically pre-highly utilized fairly quickly. I think that would be our expectation with this current plant. We bring it on, it's going to be highly utilized. And we pointed to about $90 million of CapEx for this, that's going to for the most part almost all of it's going to be next year in 2021 with a little bit of spending this year. As you look forward to CapEx next year, we pointed this year to the low end around $700 million for this year. I would expect 2021 to be meaningfully less. Even with the addition of that Heim Plant, meaningfully less in 2021 than 2020. We're still working through the budgeting, working through what our producers sign with the compression and pipeline needs and that's going to be but I would expect this is even with the Heim Plant be meaningfully less than this year's CapEx.
Tristan Richardson: I appreciate it. And then, just thinking about the longer-term leverage target. I'm just balancing that between Targa's having been very active on the repurchase lately. Could we see repurchase become a regular fixture of the capital allocation. Whether that'd be targeted or programmatic over time or is the priority in the medium term to really prefund any DevCo scenario with free cash flow and added distributions.
Jen Kneale: Good morning, Tristan, this is Jen. I think for us, we really try to be very deliberate with the words that we used when we announced the share repurchase program. And really try to liken it to the opportunity that we saw earlier this year around being able to repurchase some of our debt. And what we saw were very attractive prices. For us this year, repurchase program is an opportunity in our view to benefit from what we perceive as a market dislocation. And so, as we look forward beyond the $500 million program that we announced. We'll be continuing to look at the best ways to return capital to our shareholders. We clearly are very much focused on the deleveraging plan and we don’t view the share repurchase program as a departure from that in any way shape or form. So, we will continue on that path to deleveraging. I think an important part of trying to articulate that deleveraging story was around the debt cost because it sounded like there were some broad market concerns that that was going to add significant incremental leverage to the target system. So, we try to provide clarity around that today, that we don’t view that as a departure either from that long-term deleveraging plan. I think ultimately we've made a lot of progress on a lot of strategic initiatives in term of adding fee based margin in the GMP business. In terms of rationalizing our capital spending, rationalizing costs et cetera. And I think all of that plus the strong operational performance of our assets this year has just provided us with a lot of flexibility. And so, hopefully we'll be able to continue to realize our flexibility as we look forward while continuing on that deleveraging path.
Tristan Richardson: I appreciate it Jen. Thank you guys, very much.
Matt Meloy: Okay, thank you.
Operator: Your next question is from the line of Ujjwal Pradhan with Bank of America. Please go ahead.
Ujjwal Pradhan: Good morning, everyone. Thanks for taking my question. Just wanted to begin with the little part of your M&A commentary specific to midstream sector. Matt, so this year you have made good progress under recent cost while maintaining your significant operating leverage in the Permian. One could argue that you could achieve more of the same potentially to synergies from merger if you call transactions maybe in your core reasons and further expand that integrated profile. Have you or would you consider such opportunities?
Matt Meloy: Yes. I'd say we'll always consider and look at other opportunities that could make sense for us over the long-term. And could there be something with significant synergy potential which look attractive to us I guess theoretically. But when I think we feel pretty proud of our Permian position in our asset position. And so, if there was anything like that, MLE's or others, it would have to be very attractive for us to be issuing TRGP here for someone given our strong Permian position in our outlook. So, I guess any of those are not off the table, we're trying to be smart about all those things. Look at those things, we just feel like we're in a really good position without doing that trend any kind of transaction like that. And just execute on our business plan, focus on what we have in front of us. And it's going to deliver very good returns to our shareholders over time. And then announcing the share repurchase here recently, I think it's evident of how strong we feel about TRGP in our business outlook.
Ujjwal Pradhan: Thanks for that, Matt, very helpful. And my second follow-up is to your cons around potential asset sales in the future, appreciate all the comments you made earlier question. But as we think about your non-Permian GMP systems which are in basins with the material and declining profile. Could you maybe talk about the cash flow profile of some of those systems and made up in the market for such assets at the moment? Thank you.
Jen Kneale: I think to start, we're 1) very pleased that we were able to sell a 45% interest in our Bakken assets for $1.6 billion when we did. And I think that that transaction highlighted at least that point-in-time. Our willingness to really core up around what we consider sort of our bread and butter which is Permian through all of our downstream assets. But we do have other assets that I think also importantly bring a lot of additional benefits to us in terms of also brining volumes further through our downstream assets as well. So, really what you've seen as liquidated at this point are assets just haven’t in our view made sense for us to earn over the longer term and it made sense for somebody else to own. As we look across the cash flow profile, the assets that we have, again I think we're very comfortable with the Bakken exposure that we have right now. Those assets are continuing to perform well better in the third quarter than the second quarter. And better expectations as we look forward for those assets. I think on the Midland side, our teams have done a wonderful job of trying to extract savings from those assets and really optimized the positions that we have in trying to get more volume further through our downstream assets et cetera to make that more of an attractive cash flow profile than it would otherwise be. I think the moving of the Heim Plant highlights our engineering teams creativity to look around our asset footprints where we may have declining volumes and say is there a better higher use for certain assets. And that's a high visibility version of an asset moving. But we're looking all the time at the compression in one area that is less utilized they need to be moved to the Permian for example could be more highly utilized. So, hats off to our engineering and operations teams that are focused on that as well. I think ultimately we're very comfortable with the asset portfolio that we have. And ultimately we'll continue to look at whether we're the right long-term owner of assets. That's part of our job but again we're very comfortable with the assets that we have and the cash flow profile of those assets.
Ujjwal Pradhan: Got it, very helpful. Thank you, Jen.
Operator: Your next question is from the line of Shneur Gershuni with UBS. Please go ahead.
Shneur Gershuni: Hi, good morning everyone. So, to go back to the DevCo. But just kind of wanted to understand a couple of things. But first, really appreciate the transparency in these slides that you've put out today. I'm trying to understand is your benefit in timing from acquiring the DevCo. It's sort I think about the IRR calculation and so forth in the fact that the distributions that get paid out as reducing that, you need to purchase, if I understand that correctly. What does the timing of ramping let's say a Grand Prix sort of changed here IRR thought process as to how the timing should be as. I was wondering if you could sort of walkthrough how the assets ramp. Does that change your timing on when you want to acquire the asset?
Jen Kneale: Shneur, this is Jen. I think that the EBITDA generation of assets is clearly a very important barrier for all that we're considering in when and makes sense to take out the structure and repurchase those interest. So, I think you're exactly right to the extent that those assets are performing very well which they are. And we've got good visibility I think to continued excellent performance from the assets that were included in the DevCo. Then we get to that sort of multiples of IRR calc change more quickly. And it makes more sense for us to potentially take it our earlier as a result of that. Everything that we put out this morning was just to try to provide a lot more clarity. One, its Stonepeak is benefiting from good quarter-over-quarter distribution as a result of the performance of those assets and so ultimately that reduces the overall end payment that we need to make to the important point that from our point-of-view it's not a significantly leveraging transaction in any way shape or form. It's again really more about liquidity than anything else. And ultimately I think that our continued strong performance across Targa is helping us to feel like we've got more flexibility to potentially move more quickly on taking out those DevCo interest. But a key element of the structure is definitely when it flips from that multiple to IRR and that's a key area both that we are considering when we thought about the base case that we were going to present today for one we are thinking about taking it on.
Shneur Gershuni: That makes perfect sense. So, I guess does that sort of drive also into your thought process around when you buy back your stock. As well also is it kind of like stock it at certain price and you sort of measure it again versus buying chunks of the DevCo. Is that kind of the way to be thinking about that as well also?
Jen Kneale: I think for us right now, clearly the share repurchase program is again a view on the market dislocation and so that's why we need quickly to put a program in early October and that's why you've seen us to be active under that program already. So, as we look forward, I think it's really the performance of our assets that reduce capital spending that has given us the flexibility to put in that share repurchase program and to already be successful repurchasing shares under it. And so, we'll be continuing to look each quarter what's the best use of our free cash flow, what's the best use of our liquidity. Positions us best for creating long-term shareholder value and we'll be making the decisions on what and when to repurchase and or to pay down on the debt side as a result of all of those variables.
Shneur Gershuni: Okay.
Matt Meloy: And just to add to that too. As Jen said earlier, our repurchasing of the debt, that was more about liquidity. So, it's not we need to do one at the expense of the other. We have enough liquidity to repurchase shares. We have enough liquidity to go on to repurchase DevCo's. So, when we repurchase the DevCo's, it's going to be leveraged neutral, maybe slightly leveraging but pretty much leverage neutral. So, one doesn’t go with the expense of the other necessarily.
Shneur Gershuni: Yes. That makes perfect sense. And I think given that you're obviously focused on getting leverage down and you see this kind of a leverage neutral transaction. I mean, do you see an opportunity if not finance more than 50% of it actually using that. Just sort of given the trajectory that you're on. Is that an option that you would consider at that time?
Jen Kneale: Our profile is significantly increasing free cash flow as we look out over the horizon. We also have a lot of liquidity. So, ultimately it would depend on that quarter how exactly we execute on whether it's drawn all under the revolver or we're using available free cash flow. I would expect it to be combination, Shneur.
Shneur Gershuni: Alright, perfect. Really appreciate the color today and I wish all a safe day.
Matt Meloy: Okay, thank you.
Operator: Your next question is from the line of Colton Bean with Tudor, Pickering, Holt. Please go ahead.
Colton Bean: Good morning. So Matt, just wanted to quickly clarify some of the comments there on 2021. I think you had previously steered towards a range of about $200 million on capital spend. Can you just clarify whether there was any consideration of processing CapEx in that number or if time would be fully incremental to that?
Matt Meloy: Sure. Yes, good morning Colton. For 2021, we gave a $200 million number that was in the kind of downturn in the second quarter. And it would it assumed a very kind of base level modest level of spending. Kind of the very I'd say downside case or low side case for that. And it did not have any incremental processing. So, the 90 would be incremental for that. Yes, as we're going through the budgeting and looking through what we expect for 2021, I would expect there to be more kind of base level spending relative to that 200 and then you'd add the $90 million of processing on top of that. Those are going to be right now it could be somewhere in between the 200 and 700. We do think it's going to be significantly less than the 700. So, I'm not trying to imply, we think it's going to be approaching that number at all. It's going to be significantly less than the 700. But I would expect it to be more than the 200.
Colton Bean: And you said it, and that's helpful. And then maybe a question for Scott. It looks like the TNF unit margins actually rebounded pretty strongly here back up close to Q1 levels despite lower volumes coming out of the mid count which I think is a little bit higher margin business. So, any specific drivers to point to on the margin improvement?
Scott Pryor: I think really for us when you look at the volumes that crossed our system. We have done a good job of contracting TNF across our entire system. Obviously led by production coming from our Permian Basin from our own GMP assets. I think that that was that's going to continue. You can see the ramp up that we've had fractionation side. They had been of or Train 7 earlier this year and now they added to the Train 8 in the latter part of the third quarter. Now, so we'll continue to see that. We do believe that our volumes are going to be up in the fourth quarter as we work across the inventory. So, I think overall, margins are still its highly competitive out there. But we've done a good job of really marketing our assets showing that we've got flexibility on our system. Then we can perform very well and reliable for our customers. So, I think that is going to continue to drive margins to our business not only on our Frac business, but our transportation on Grand Prix as well as it leads to the export business.
Colton Bean: Got it, I appreciate the time.
Matt Meloy: Okay, thank you.
Operator: Your next question is from the line of TJ Schultz with RBC Capital Markets. Please go ahead.
TJ Schultz: Hey. So, just a question had most of my follow-up on the DevCo. So, maybe just one clarification. Is that five to six times multiple reflective of run rate EBITDA at the beginning of 2022 or what period does that reflect? If that may give a sense of the ramp in those assets you're expecting in your base case assumption on timing. Thanks.
Jen Kneale: It's reflective of run rate EBITDA at that repurchase timing assumption TJ, so Q1 2022.
TJ Schultz: Okay great, thanks Jen.
Operator: Your next question is from the line of Keith Stanley with Wolfe Research. Please go ahead.
Keith Stanley: Hi, thanks. First question on the LPG exports and the volumes you saw on the quarter. And I think you said you expected to be even higher in Q4. Should we think of that as mostly tied to greater long-term contracts with the facility expansion? Or is it partially better taking in some good short-term opportunities. Just curious if Q3 Q4 is a good run rate for LPG export.
Matt Meloy: So, when we look at the export business. Certainly, we had a very strong quarter averaging a 9.5 million barrels per month. We do expect the fourth quarter to be even stronger. We had a partial quarter on our phased and expansion which was inclusive of our new refrigeration unit at Galena Park at our export facility. So, getting the full benefit of a fourth quarter. We expect the volumes to be up as a result of that. With that said, also the additive of that phased and expansion we brought on new contracts. So, we are highly contracted, we expect the volumes to be stronger in the fourth quarter. The market is still has a strong demand for products across the globe with continued focus on the east. And so, we look at that and say well we're highly contracted. But we will continue to look for every opportunity to squeeze cargoes in between the contracted cargoes that we have and being very reliable to those term contracts and liftings that we have. But we'll look for every opportunity to optimize and in between those.
Keith Stanley: Thanks. And second question. Just to clarify, would you look to repay debt with free cash flow over the next couple of year? It's I don’t think the company has any debt maturities for several years. So, is that an option or is it more likely you could be building up cash for the eventual DevCo buying, thanks.
Jen Kneale: No Keith, to the extent that we've got maturities that are callable. For example, we could use available free cash flow to reduce the overall quantum of debt that we have by using that free cash flow to potentially call different series of notes. We also do expect some continuing spending and sort of the extent that we've got any liquidity drawn on the revolver which we currently do at small borrowings at both TRP and TRC. Then we'll be using available free cash flow to reduce debt at those revolvers as well which would just reduce again in the overall amount of debt that we have in our system.
Keith Stanley: Thank you.
Matt Meloy: Keith, thank you.
Operator: Your final question is from the line of Timm Schneider with Citi. Please go ahead.
Timm Schneider: Hey, thanks for all the color, guys. Just a real quick one follow-up on the LPG export side. You mentioned that east has been pretty strong. Just wondering what is driving that, who is your customer on the other side here as the trading house is this end users kind of also curious as to what you're seeing in Europe, in South America or your views as we kind of get into 2021.
Matt Meloy: Sure. When you look at the growth to the east, a lot of that growth is still driven by China and by India. And certainly when you look at China, there the continued growth and expected growth over the next several years is going to continue to be focused on PDH plants. Propane Dehydrogenation plants. In India, it's really more of a domestic queue. And as the state of India continues to really improve its infrastructure, there is still several billion people obviously in India and many of those are without an appropriate energy source. And so, the ability to put the infrastructure in place by other parties to get this clean burning source of fuel into India is really where we see a lot of growth. So, India and China are going to continue to be the primary source of growth that we see in the east. We've also seeing good demand in Europe, you mentioned that some of that comes more on the backs of refinery shut downs and the need in petrochemical plants where we've seen some movements in butane and other products. So again, global demand continues to grow. There is a need for a clean burning energy source which is propane and butane, much better than the use of coal or other solid waste material. So, we think the horizon looks very good for continued growth and a lot of that incremental demand is going to come from the U.S. where the production continues to climb.
Timm Schneider: Got it. Thank you.
Matt Meloy: Okay, thank you.
Operator: Now we'll turn the call back over to Mr. Sanjay Lad.
Sanjay Lad: Great. Thanks to everyone that was on the call this morning. And we appreciate your interest in Targa Resources. We will be available for any follow-up questions or any question is there. Thank you, and have a great day.
Operator: And this does conclude today's conference call. Thank you for your participation. You may now disconnect.